Operator: Greetings and welcome to Hawaiian Holdings, Inc. First Quarter 2023 Financial Results Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Marcy Morita, Managing Director, Investor Relations. Thank you, Marcy. You may begin.
Marcy Morita: Thank you, Camila. Hello everyone and welcome to Hawaiian Holdings first quarter 2023 results conference call. Here with me on Honolulu are, Peter Ingram, President and Chief Executive Officer; Brent Overbeek, Chief Revenue Officer; and Shannon Okinaka, Chief Financial Officer. We also have several other members of our management team in attendance for the Q&A. Peter will provide an overview of our performance, Brent will discuss revenue, and Shannon will discuss cost and the balance sheet. At the end of the prepared remarks, we will open the call up to questions. By now, everyone should have access to the press release that went out at about 4 o'clock Eastern Time today. If you have not received the release, it is available on the Investor Relations' page web page of our website, hawaiianairlines.com. During our call today, we will refer at times to adjusted or non-GAAP numbers and metrics. A detailed reconciliation of GAAP to non-GAAP numbers and metrics can be found at the end of today's press release posted on the Investor Relations page of our website. As a reminder, the following prepared remarks contain forward-looking statements, including statements about our future plans and potential future financial and operating performance. Management may also make additional forward-looking statements in response to your questions. These statements are subject to risks and uncertainties and do not guarantee future performance and therefore, undue reliance should not be placed upon them. We refer you to Hawaiian Holdings' recent filings with the SEC for a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. These include our most recent annual report filed on Form 10-K as well as subsequent reports filed on Forms 10-Q and 8-K. I will now turn the call over to Peter.
Peter Ingram: Hello Marcy. Aloha everyone and thank you for joining us today. 2023 is off to an encouraging start. Many of the challenges we have discussed on previous calls remain, but leisure demand and the substantial majority of our markets remain and we outperformed our revenue guidance in the first quarter. At the same time, we continue to execute against a wide variety of important initiatives this year that are going to position us extremely well for the years to come. Last week, we made the transition of our Passenger Service System to Amadeus' Altea platform. This is the largest technology project in the history of our company and hundreds of people worked for more than a year to make it happen. The core PSS transition went smoothly, but we did experience issues in some of the Hawaiian Airline systems that connect it particularly our website and kiosk check-in. Those systems have been stabilized since the end of last week. But in the three days immediately following the cutover, we face crowded airport lobbies and we're unable to take the normal volume of bookings on our website. We expect a small one-time impact on revenue in 2Q as a result about which Brent will offer some thoughts. As you would expect, I wish the transition had gone flawlessly. But in spite of the challenges, I was inspired to see how our team and partners pulled together to take care of our guests and solve problems. What's most important to me is that first that we are taking care of our guests with empathy and care and second, where we go from here. Right now, we are focused on ensuring that the systems we've implemented are stable and working as planned and that we are addressing any lingering transition issues. Beyond that is where the real benefits of this investment will be realized as we begin to build new digital experiences and revenue generating products, on top of this fundamentally sounder technology foundation. In less than a week, we will complete another important project to in source substantial elements of our A330 maintenance from a third-party, reducing our steady state expenses, giving our team greater control of our day-to-day operation, and allowing us to scale our costs more effectively as we grow the fleet with the Amazon A330 freighters. Beyond these two significant initiatives, there is much more ahead of this year. One of our key themes this year is delivering on our commitments, a nod to the fact that as we move forward from disruptive couple of years, we continue to invest in our future and several of these initiatives are coming to fruition this year. It's good to be off to a positive start. Brent will talk about our commercial performance in more detail, but I'll hit a couple of highlights. Demand in the largest part of our network from the US Mainland to Hawaii remained strong. First quarter performance met our expectations and we are well set up for 2Q and the summer. Australia, New Zealand, and South Korea continue to see solid demand in the first quarter of the year. On the Neighbor Island network, we continue to face a pricing environment that delays a return to capability on these routes. We are closely monitoring DOT reported yield and load factor information as it becomes available. And month-after-month, it shows that we are resoundingly outperforming Southwest on both fronts. Inter-island pricing pressure abated somewhat sequentially in 1Q. But remember, this is on the heels of five plus months of our competitor offering last seat availability of $39 fares inclusive of taxes on every flight. Demand recovery of outbound Japan travel remained slow. We've seen some green shoots in recent weeks, but our Japan routes remain far from a complete recovery. With the extension of slot flexibility for a few more months, we are going to fly less Japan capacity in the summer than we anticipated when building our 2023 plants. Some capacity will be shifted to the more rewarding US Mainland market this summer, but not as much as we would prefer as we are still plagued with limitations on our A321neo fleet capacity as a result of our engine suppliers' inability to meet fair engine commitments amidst an overtaxed engine overhaul supply chain. At the moment, we have five aircraft grounded awaiting engines relative to an overall fleet of 18. We expect to return one of these aircraft to service later this week with another one returning about a week after that if the current plan holds. We're working with Pratt & Whitney to find a way beyond this situation, but in the meantime, some of the A330s that aren't flying to Japan are backfilling service on routes that we would prefer to operate with A321s. And we've been less aggressive in scheduling summer capacity overall than we otherwise would have been. While I'm on the subject of operational challenges, let me provide an update on the impact of runway construction in Honolulu on our reliability. Since October, Honolulu Airport has operated without access to its primary arrivals runway. The project, which has experienced delays, is currently scheduled to be completed before the end of May. By which time we will have effectively seen seven months of impairment to the airport's peak hour capacity. Air Traffic Control protocols to manage the disruption have had a severe negative impact on our Neighbor Island operation. For the past several months, we have commonly seen our 717s held on the ground with extended weights for approval from Air Traffic Control to depart. In the most recent period, this has been a daily phenomenon. These delays then cascade through the day for subsequent flights scheduled for the delayed aircraft. We have made adjustments to add buffer to our operation, putting slack time in the schedule to provide opportunities to recover a line of flying after ATC delays. This initially yielded some promising improvement to reliability. But in recent weeks with the return of daylight savings time schedules, we have seen performance deteriorate again. Unfortunately, there is no quick fix here and we expect the challenges to persist until the construction project concludes. I know this has an impact on our guests who depend on reliable inter-island service and for their jobs and personal lives. And we are absolutely committed to getting back to our historically industry leading on time performance. On a more positive note, we were pleased to see the ratification of our new pilot contract in February. The new terms went into effect on March 2nd. This contract recognizes the contributions of our pilots to our company and reflects the evolution of the industry's labor economics. The pilot contract follows the ratification of deals with our other collective bargaining units over the course of 2020 and 2021. As we sit here today, it will be 2025 before we have a contract becoming amendable for any work group. Given the more unsettled state of bargaining at some of our competitors, we feel very well-positioned in this important area. We also remain focused on our environmental commitments. We've published a roadmap which details our plan to achieve net zero greenhouse gas emissions by 2050, including commitment to considerable progress in the 2030s. And to help put that plan into action, we've announced an agreement with biofuel company Gevo to purchase 50 million gallons of sustainable aviation fuel over five years. The availability of SAF is essential to reducing our carbon footprint and we will continue to invest in meaningful partnerships to help develop this nascent industry. Earlier, I mentioned that 2023 is a year for Hawaiian to deliver on our commitments. The PSS transition and our A330 maintenance and sourcing are significant milestones. Let me take a moment to talk about some of the other initiatives that have seen progress. We have a more clear picture now than at any time in the past few years on the timetable for introducing 787 to our fleet with the first delivery scheduled for the fourth quarter of this year and a planned entry into service date in 1Q 2024. The fleet will grow to four by the end of 2024. Planning and training have already kicked into gear and we don't expect any impact from the recent brief interruption of Boeing 787 deliveries. We also continue to make progress toward commencing freighter flying for Amazon. Revenue flights will begin in the fourth quarter and planning is on track. As a reminder, we will ramp up to 10 freighter aircraft in the operation over the course of 2024. As you can tell, 2023 is shaping up as a very busy year. We aren't yet where we want to be from the standpoint of financial recovery, but there is much to be excited about as we progress into the middle months of 2023. Our team is doing a great job as they always do taking care of our guests and making sure that we compete to win in the markets we serve. Let me turn it over to Brent to go over our commercial performance and outlook in more detail.
Brent Overbeek: Thank you, Peter. Aloha everyone. As Peter mentioned, leisure demand remained strong for most of our markets in the first quarter. Total revenue was up just over 28% as we operated a little over 15% more capacity versus the same period in 2022. With that said, the impact of the Omicron virus in the first quarter of 2022 makes it an atypical comparison. For reference, total revenue is shy of 2019 by a little less than 7% on just over 1% more capacity. System RASM was up just over 11% year-over-year for the first quarter, which is better than the high end of our guidance range. The outperformance underpins the strength we're seeing in North America and the rebuild in our international markets, tempered by the low fare environment in the Neighbor Island market. North America continues to do well and we're encouraged by booking volumes that we saw from late March through mid-April. For the first quarter, a 10-point improvement in load factor drove revenue for North America up approximately 20% year-over-year, despite operating a touch less capacity compared to the same period in 2022. Neighbor Island revenue performance continued to be challenged low fares. Our competitor is no longer offering $39 last seat availability as they were for most of the second half of last year. However, low fares remain broadly available in the market. Hawaiian was founded to serve the inter-island market and our 93-year commitment to the market in Hawaii remains unchanged. We offer the best service and schedule in the market and consumers continue to choose our product as demonstrated by the most recent DOT statistics, which show we have a unit revenue that was almost three times our competitor and a load factor that was almost 30 points higher. The steady return of demand in our international markets resulted in better than expected performance in the first quarter, due largely to the strength in our Auckland and Sydney routes. Strong traffic gains for US point of sale demand led the way for international routes. Passenger revenue for our international market including Japan is up almost 300% for the first quarter of this year compared to 2022, keeping in mind that the New Zealand, Korea, and Japan travel restrictions were being relaxed in the first quarter of 2022. For reference compared to 2019, for the same period, our passenger revenue is down 32%, driven by the slow recovery of Japan. Japan continues to lag the recovery of the other markets that we are seeing strong performance from US point of sale and steady improvement from Japan point of sale. Slot relief in Hennetta [ph] through July enables us to shift A330 aircraft to other markets so we can capture the demand there. However, as Peter mentioned, we face operational challenges with our A321 engines that prevent us from optimizing our schedule. There are many markets where we would ideally like to fly an A321, but are now compelled to fly an A330 due to our current shortage of available for service A321s. To add to the operational inefficiencies we're experiencing due to fewer A321s in service, the runway construction in Honolulu, and Air Traffic Control protocols have further challenged our operation. With the numerous delays imposed on us in Honolulu, we've added block time and additional turn time to our flights, which ultimately results in lower efficiency. We're hopeful that the timeline for the project stays on track and we can return to our historical levels of dependability and efficiency in the latter portion of the second quarter. Our premium product demands remain strong across the system and RASM for these products is still near record highs. Ancillary products remain an important and growing source of revenue and we're continually looking for further opportunities to optimize revenue from our seating products. Our co-branded credit card had another record for the first quarter with revenue up almost 11% compared to the same period in 2022. Our cargo team had a strong quarter from a historical perspective, but off from the record highs of 2022. First quarter revenues were down just over 25% year-over-year as international yields softened from their 2022 peak and we didn't fly any charters for the US Postal Service. However, compared to 2019, first quarter revenue was up 16%. As Peter mentioned, while much of our PSS transition was a success, we didn't counter issues with booking through our website at the end of last week. Hawaiianairlines.com is our primary distribution channel and in 2022, it represented approximately 60% of our revenue. The website performance issues are stabilized, however, with the extended outage last week, we believe that we will have roughly a $4 million to $6 million drag on revenue in the second quarter. Now, let me give you a bit more background about each of our geographies as we enter the second quarter. In North America, our capacity is down a few percentage points year-over-year, primarily driven from our exit from New Orlando market. Advanced bookings remain both above 2022 and 2019 levels and we anticipate fair levels will end up similar to last year. The vast majority of our capacity growth is coming from international, our longest stage length entity where our capacity is up almost 145% compared to the second quarter of 2022. This is a function of methodically ramping capacity across Japan and New Zealand as travel restrictions were starting to abate last year. Not surprisingly, advanced bookings looked strong on a year-over-year basis, but we still have a ways to go to get back to our historical levels. Finally, as I mentioned earlier, we're clearly outperforming our competitor in the Neighbor Island market, but it remains a challenging revenue environment. Our capacity is up about 8% year-over-year and industry capacity is up 18% year-over-year. The second quarter of last year was the recent high point for average fares in this entity. So, at this point, it looks like it will be our most difficult year-over-year comp. Current published capacity levels look to moderate on a year-over-year basis as we head into the back half of the year. Adding all that up, we think system ticket revenue will be a few points short of our capacity growth -- our year-over-year capacity growth of roughly 12%. However, as we mentioned in previous quarters, we do have some year-over-year headwinds impacting our overall RASM comparisons. Most notably spoilage has turned to a more normal historical level, but creates a three and a half point headwind year-over-year. We also have a few other aspects of our business where we've had a significant change. This year, we didn't find any dedicated mail flights for the Postal Service, largely exited our third-party ground handling business and we'll be a much -- and we'll have a much smaller amount of charter flying for the Department of Defense. Together, these changes create just over an additional 2.5 points of RASM headwind. In total, we think RASM will be down about 10% year-over-year. We know we have more work to do, but we're staying the course on strengthening our international markets, tapping into demand from our US Mainland to Hawaii markets, addressing the market needs of Japan, and staying on top of our Neighbor Island travel. As we get past the external factors affecting our operational efficiency, we'll continue delivering on our commitments. And with that, I'll turn the call over to Shannon.
Shannon Okinaka: Thanks Brent. Aloha everyone and thank you for joining us today. We ended the first quarter of this year with an adjusted EBITDA loss of $85 million, which equates to an adjusted loss of $2.17 per share. These results are consistent with our expectations at the beginning of the quarter. Costs, excluding fuel, were also generally in line with our expectations for the first quarter. But we have not quantify the full financial impact of the operational issues that Peter discussed. One significant area of impact was in our fuel consumption, which ended higher than expected. Although the fleet changes did not have an impact on overall capacity, the change in our fleet mix degraded our fuel efficiency, causing about half of the overage versus our original expectations. The other half of the variance was primarily due to increased taxi times and block hours, resulting from airport and Air Traffic Control congestion. We have considered these impacts in our guidance going forward. As Peter mentioned, we're very pleased that our pilots have ratified a four-year contract. While the contract provides for immediate wage increases effective at the beginning of March, the company gained important scheduling and work role flexibility that would help us manage the business more efficiently. The salary increases contributed to just over half a point to CASMex for the first quarter, and the impact to full year 2023 is estimated to add a little under two points to CASMex. For adjusted reporting purposes, we excluded the impact of the signing bonus and one-time increase in vacation liability as they were not related to first quarter performance and would be anomalous in a period-over-period comparison. While we're on the topic of non-recurring items, in the first quarter, we received a one-time interest payment of about $5 million related to a federal tax refund and recognized a $10 million gain from the sale of commercial real estate that we owned, both of which were excluded from our adjusted results. We also adjusted out a credit resulting from the reversal of an accrued liability due to the accounting for the termination of our A330 maintenance contract. For the second quarter, we expect our unit costs ex-fuel and special items to be about 1.5% higher than the same period in 2022, primarily driven by about two percentage points from the increased from the new pilot contract and about one point from heavier flying of our A330s to the West Coast due to A321 unavailability, offset by about point and a half benefit from spreading our fixed costs over larger capacity and half a point from fewer heavy maintenance events in the quarter. We're committed to staying within our full year CASMex guidance range of up 1% to 5% versus 2022. The full year range reflects larger year-over-year changes in the second half of the year, partially due to timing of maintenance events and the timing of airport-related rate increases. We've talked a bit about the operational challenges we experienced and will continue to experience, all of which puts pressure on our unit costs. Despite these pressures, we're finding ways to mitigate cost increases, including efficiencies related to staffing and training and optimized workarounds for A321 engine delays as well as Honolulu runway construction. Just a quick note on the balance sheet. As we plan for the delivery of our first 787, although we're comfortable using cash to pay for the delivery this year, we are evaluating the market to assess the viability of various financing options. With that said, I'm pleased that we have the flexibility to pay cash if desired to keep leverage and interest cost down. We remain focused on what we can control to return to profitability. While we navigate short-term challenges, we're also investing in our future to reduce costs through increased efficiency and to enhance our revenue generating capability. We're confident that the investments that we're making this year will provide value to our guests, employees, and shareholders when operating in a steady state. With that, we can open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. And our first question is from Helane Becker with Cowen & Company. Please proceed with your question.
Helane Becker: Thanks very much operator. Hi everybody and thank you very much for the time this afternoon. On the issue with the runway, Peter, I think you said that it took longer than expected -- or is taking longer than expected, which kind of is not surprising given the management of the airport in the past. But do you know if your competitor and inter-island flying has the same issues that you have?
Peter Ingram: Yes, Helane thanks. The project was originally scheduled I believe to be done more on a February timeframe. So, it's run a couple of months late at this point. It is the case that flights are being held in the Neighbor Islands for both carriers. It is also the case that we have a greater density of flights in the hours of day when the Air Traffic Control disruptions typically go into place. And the fact that our competitor also will often have those airplanes depart the island later on whereas ours are flying back and forth between the islands all day means I think the impact is being more profound on us. But we don't have any indication that Air Traffic Control is particularly disfavoring Hawaiian departures. They are particularly disfavoring the short haul departures in favor of getting the long haul aircraft that are coming in from the Mainland in the late morning on the ground as opposed to having them circle. And so that's why the Neighbor Island impact takes a disproportionate -- or Neighbor Island network takes a disproportionate impact.
Helane Becker: Got it. That makes perfect sense. And then just for my follow-up, I didn't really catch comments on Japan other than it's reopened. Can you talk at all about how forward bookings are shaping up for the summer months maybe? Thank you.
Brent Overbeek: Yes. Sure Helane. So, we are seeing we've seen some continued improvement in Japan point of sale, not back to the historical levels that we had and certainly our capacity levels reflect that, but we are seeing some signs of improvement. And I think if we look over the last four to six weeks, we've seen some steady progress, not exceptional, but some steady progress in Japan point of sale. We continue see really strong US point of sale traffic, so both Hawaii-originating traffic and traffic from the mainland, that continues to book really strong. Unfortunately, it's a relatively small portion of our overall traffic mix. And so as we look at load factors, we're not going to be up to our historical levels, but we continue to see kind of sequential progress month-over-month as we move from the first quarter into the second and then progress through the second quarter.
Helane Becker: Okay. Thank you very much.
Peter Ingram: Thanks Helane.
Operator: Thank you. Our next question is from Conor Cunningham with Melius Research. Please proceed with your question.
Conor Cunningham: Hey everyone. Thank you. Peter, I don't know if you gave this or if it's just not relevant anymore. But on 2023 capacity guidance, I mean there's a lot of moving parts from all the issues that you kind of talked about. Is the 9.5% to 12.5% growth that you had previously put out there still relevant today? And if not, maybe you can talk about where the pull downs are happening and all the moving pieces that may make up your outlook for 2023? Thank you.
Shannon Okinaka: Conor, I'll start. This is Shannon. Yes, we did not update our full year ASM guidance, so we still believe that the range is in that 9.5% to 12.5% for full year capacity. We do have -- it is a different mix of what we had planned at the beginning of the year, but we are intending to move some of that Japan capacity over to North America as Brent discussed. Brent, do you want to add anything?
Brent Overbeek: Yes. No, I think we're -- at this point, we're confident that we're still in range. We'll continue to keep an eye and as the A321 situation progresses, we have expectation that that's going to improve as we get through the latter part of this quarter and into the third quarter. And then we'll also keep a keen eye in Japan. And I think both of those could influence it, but at this point we're comfortable with where we're at and certainly within range of the guidance that we've got there.
Conor Cunningham: Yes. Thank you. And then, yes, Shannon, I know you said you don't know the exact impact to all these operational issues and some of the engine problems and whatnot. But when we think about that, I know that you're saying that you expect to be in the full year range, but it just seems like a lot that's going on. Why wouldn't we expect to be at the high end of the range? Are you finding one-for-one offsets as you move forward? Is it just through the productivity and so on? I'm just trying to get a sense for where things shake out there. Thank you.
Shannon Okinaka: Yes. Thanks Conor. When we put out the guidance at the beginning of the year, we had a number of management issues initiatives in mind. And we had, frankly, also, put in some factor for more management initiatives, we're being really aggressive this year about finding efficiencies. I mean actually, I think, we're doing a really good job so far, which is why we feel pretty comfortable with that that full year range. I don't -- I wouldn't say that at this point, I expect to be on one side or other of that range. But we're -- it's mostly what we're finding looking for is mostly labor efficiencies at this point. And we had so many estimates at the beginning of the year for different initiatives. So, say, like, we didn't know exactly how the A330 maintenance insourcing was going to roll out from a cost per perspective, and we're just finding ways to be more efficient than some of our expectations or estimates at the beginning of the year. So, those are the areas that we're really focused on some of the investments that we're making as well as labor efficiency.
Conor Cunningham: Okay. Thank you.
Operator: Thank you. Our next question is from Catherine O'Brien with Goldman Sachs. Please proceed with your question.
Catherine O'Brien: Hey, everyone. Thanks for the time. Maybe this is like a really silly question. It's going to have to go one word answer, but you guys have talked about US point of sale in Japan improving, one of your competitors mentioned that last month at a conference. Is there anything you guys could do from like a marketing perspective to maybe try to capture some more of that US point of sale than your normal mix? Or like, do the slot timings in Japan not work for that or maybe the connecting fare mess doesn't work versus direct? Like just was curious if there's anything you could do to kind of, like, shift and maybe carry more of that US point of sale than typical or that's a silly analyst idea?
Brent Overbeek: No. Appreciate the perspective and you can send your resume over Catie and you can come join us anytime you want. No, we have made a concerted effort to make sure that we've got connectivity from North America to Hawaii. Obviously, we do well out of Hawaii point of sale, but that North America point of sale business is really what we've been able to tap into a bit more. The challenge we've really got is just security, given how far south we are, it is more inefficient for our guests to do want to come connect through here. So, our total lapsed time is a little bit longer than others, but we have been able to find some opportunities to go out and take some traffic that isn't a normal source of our traffic base. So, we'll continue to look at that both on the pricing or revenue management perspective, but also on marketing side in terms of being able to promote that. And so we've done a fair amount of that already, which has helped us get to this point and we'll continue to look for additional opportunities to do that. It gets a little bit tighter in the summer obviously as Japan load factors pick up a bit more and as our North America load factors creep up as well closer to the 90% level. It gets a little bit more difficult squeeze some of that stuff on board, but we'll continue to look for troughs and opportunities to take advantage of that.
Peter Ingram: And just to add to that for a bit, I think Brent nailed it that the security of connecting over Honolulu puts a natural constraint on the demand we get from the US Mainland. The other point of US point of sale that is valuable to us, but is also limited is Hawaii point of sale. And I think as most of us in this room go out around our community, we probably all know a number of people who have told us recently that they took their family to Hawaii or to Japan on spring break. It is incredibly common around here, but unfortunately there's only 1.4 million people in Hawaii and that constrains the size of that market as well. So, it's really performing well particularly in those seasonal periods and we'll probably see a little bit more of that over the summertime period as well when kids are out of school again. But there are fundamental natural limits to how big US point of sale is going to be for us on the Japan business.
Catherine O'Brien: Got it. That makes a lot of sense. And then maybe one for Shannon or Peter might want to jump into. But so as CapEx starts to ramp up again this year with the first of your 12 787s closer to year end and then again, in the coming years, how are you thinking about financing these deliveries? I know you said during the prepared remarks that you'd be comfortable using cash to finance this year's delivery possibly. But what about next year? I think in the 10-K of about $500 million in aircraft CapEx and the [Indiscernible] table over the next over 2024 and 2025. Just want to make sure that that's the right ballpark for next year? So, I appreciate the time. Thanks so much.
Peter Ingram: Sure. Let me start. I think Shannon did touch on that a little bit that we're in a position where certainly for initial aircraft, we can finance it off our balance sheet. I think as we think about it, there's always a buffet of financing options that are available to us. We're in a position right now having done the loyalty and brand financing a couple of years ago where we really don't have that much aircraft debt on our balance sheet right now relative to the size and value of our fleet. So, we think we've got the flexibility to pick our spot a little bit in terms of the timing of the market and when we want to go out and certainly we have we have very valuable assets with probably this will be the most popular modern generation wide-body aircraft coming in our fleet and already having the most popular narrow-body aircraft in our fleet.
Shannon Okinaka: Yes. I don't really have much to add. I mean we -- as we're going out -- we just started going out into the market. So, we haven't gotten a lot back yet, but we'll evaluate them. And I mean I feel comfortable with where we are today. I think our main focus is getting back to profitability generating cash and then we'll consider what our options are for next year. But right now, I think we've got the cash. We've got highly financeable assets in the 787s and 321s. So, I think we're in a good position for now.
Catherine O'Brien: And is that $500 million the right number for 2024 and 2025 for the 10-K?
Shannon Okinaka: It should be if it's in the 10-K, but I will double check and get back to you, Catie.
Catherine O'Brien: I know there's some mismatching of, like, deliveries contractual versus, like, management estimates, so just was wondering. Thanks so much for all the time. I appreciate it.
Shannon Okinaka: Sure.
Operator: Thank you. Our next question is from Mike Linenberg with Deutsche Bank. Please proceed with your question.
Mike Linenberg: Hey, good afternoon everyone or good morning. I'm trying to figure out the time zones here.
Peter Ingram: Good morning.
Mike Linenberg: Peter, have you at all attempted to put a cost to Hawaiian around the grounded A321neos, the GTF issue? And I know this goes just beyond the airplanes. I mean you're obviously paying rentals or financing costs. You have A330s flying in markets that should be A321neos. You probably have excess pilots who are sitting around. It's hard for them to bounce between airplane types. There's got to be a meaningful revenue and cost impact that is growing. What -- any sense on just even rough numbers on what this headwind is to Hawaiian?
Peter Ingram: I don't have a precise enough number that I want throw one out at that point. I think you've touched on a number of the categories where it has affected us financially. Certainly, when we're not flying those aircraft, they're not burning fuel and we're not paying for powered by the hour fees, but we do have a quorum of 321 trained pilots that is sized for a larger fleet than the one that we've been operating the last couple of months. Putting the A330 in markets has impacted us greater because they're in markets where demand is a little bit more limited and usually we're putting them when they go into 321 markets, they're going into markets where the cargo carrying capacity of that aircraft doesn't yield us any revenue benefit, which is different than if you're flying to a Los Angeles or a Korea. So, it is -- I should point out, we do have some contractual penalties that are part of contract when we do not have the appropriate level of spare aircraft available. What I will say quite definitively is that those penalties fall far short of covering the financial impact of not having the aircraft and we would much prefer to receive zero penalties because we've got the contractual level of spare engine availability.
Mike Linenberg: Okay. Okay. Thanks for that comprehensive answer. And then I guess my second question to Brent, on your RASM guide for the quarter and I realized there's a lot of moving parts here. But if I look at your fuel price assumption versus what it was a year ago, it's roughly looks like about $1.3 per gallon. How much of that maybe reflects fuel surcharges? I know some of them are explicit in some markets like Japan, some are maybe more implicit just part of the fare structure. If that down 8.5% to down 11.5% are a couple of points maybe driven to -- because of these fuel surcharges, any color on that would be great? Thank you.
Brent Overbeek: So, as you pointed out in Japan, it's certainly much more explicit and in Korea, it's probably closer to Japan than any of our other entities in terms of it being explicitly in there. And kind of beyond that it is really kind of overall market pricing supply and demand. And so at this point, I wouldn't attribute anything kind of specifically to fuel surcharges other than what market demands at and what but the industry is able to bear based on that level of supply right now.
Mike Linenberg: Okay, fair enough. Thank you.
Operator: Our next question is from Dan McKenzie with Seaport Global Holdings. Please proceed with your question.
Dan McKenzie: Hey, thanks. Good morning guys. I guess following up on Mike's first question, I know it's really hard to quantify all the inefficiencies. It sounds really rough, but could we at a minimum at least say that in the second quarter, you would be profitable, but for these inefficiencies without actually quantifying it?
Peter Ingram: I don't think I want to speculate on that, Dan.
Dan McKenzie: I see. Okay. Well, I just thought I would try. It just seems like a lot. That's all. Okay. So, next question here with Amazon pulling up in the fourth quarter, I'm guessing you're probably beginning to get some line of sight on what the metrics might look like, so departures, cost, and potentially what the financial target -- potentially what the financial target is with respect to margins. And just if you can just shed some insight on what those metrics look like at this point?
Brent Overbeek: I think in terms of this year, Dan, it's going to have a very limited impact. It's really -- it's the -- it's a cost drag this year as we incur some expenses in spooling up for coming into service. And then we have a couple of airplanes entering service before the end of the year, but really for a partial fourth quarter impact. So, it will really be more of a 2024 story before we have something meaningful to talk about and we're not -- we have not yet put out some revenue or cost guidance related to that. That will be something we think about as we go through in the latter part of the year.
Shannon Okinaka: Dan, what I'll add is we have included the operating cost of the fourth quarter of the Amazon work in our full year guidance. So, the -- that cost piece is baked in. Obviously, we didn't give revenue guidance for the full year, but the cost piece is baked in to our guidance.
Dan McKenzie: Okay. And then maybe just squeeze one more in here. I'm just wondering if you could unpack the revenue outlook for second quarter a little bit more? So, you guys always guide conservatively, but just setting that aside, we have the inter-island impact, the Japan impact. But I'm wondering to what extent if any there's the tech slowdown might be having on leisure demand to Hawaii? I know it's okay today, but I'm just wondering if it's a -- is this another shoe that could potentially drop that we have to worry about or am I just trying to split demand by too much here?
Peter Ingram: I would say maybe you're trying to split it by too much, Dan. I think if we look across North America right now, we we're above where we were in 2019 in term of advance bookings, we're above where we were last year. We've had a pretty encouraging several weeks kind of leading in and I feel pretty good. Both in terms of where we're at from an advanced booking perspective, for 2Q and 3Q as well. So, I'm not seeing any kind of macro signs of it. There are some geographies and the Bay Area is maybe a little more strain than others, but certainly I think we'll see overall demand levels be quite strong, but nothing material jumps out in terms of what we're looking at.
Dan McKenzie: Yes, very good. Okay, perfect. Thanks so much you guys.
Operator: Thank you. Our next question is from Chris Stathoulopoulos with Susquehanna. Please proceed with your question.
Chris Stathoulopoulos: Good morning everyone. Thanks for taking the question. Shannon, I think on the last call, you said that 2Q through year end PRASM would be closer to FY 2022. And if we look at the guide here for 2Q, three points of headwind from spoilage, no pulse and service, doesn't sound like you're doing ground handling and there's something else. So, a lot of moving pieces, the $39 fare wars tapering off. I just -- could you give us some color on how we should think about the cadence of CASMex second half? But also just color on kind of core yields here because in the past you've always talked about this RASM premium off of the US West Coast and there's a lot of moving pieces here. So, just would like to hear your view on what you see with respect to core yields or I guess perhaps the competitive landscape for fares? Thank you.
Shannon Okinaka: Hi Chris. I'll start a little bit with the CASM side, and I'll pass it over to Brent to talk about PRASM. But so for CASM, yes, we're going to stay with our full year 1% to 5% range up. And the first half was a little on the lower side and the second half is a little on the higher side to get that average. And a lot of it just timing on the cost side of when our maintenance events are happening and a bunch -- a number of our airports rate increases happen on July 1st or take effect on July 1st, which pushes up that second half CASM versus the first half. But we are going to keep that full year guide of 1% to 5% for CASM. So, I'll have Brent maybe address some of the yield question.
Brent Overbeek: Yes. So, Chris, we're not going to give a revenue guide. We haven't historically kind of got it out for full year revenue this early in the year and we're not going to do that. Some of the headwinds you mentioned structurally are there or abate as we get later in the year depending on those individual attributes, but some of them will be there in 3Q. and I think they'll taper off a little bit as we get towards the end of the year. If we look at kind of overall what's kind of going on in the marketplace. Like I mentioned, I think we feel pretty good about where we are on North America advanced book. Average fares look to be consistent with kind of 2019-ish levels in some cases up, some cases down, but overall in the same neighborhood. And then international excluding Japan continues to book strong. We're encouraged with that again really strong US point of sale demand there. And then with Japan, we're continuing to see things rebound from a traffic as that comes back at slightly lower fares. But overall, we're encouraged with the trajectory we're seeing in Japan.
Chris Stathoulopoulos: Okay. Thank you for the color. My follow-up, Peter. So, with the $39 fare war seemingly over, curious to hear your postmortem view on this. What did you learn? And do you believe that Southwest products here is resonating with travelers? Thank you.
Peter Ingram: Well, I think what we've learned from the Southwest experience in the Neighbor Island market so far is that travelers in Hawaii prefer Hawaiian Airlines and that's been reflected in consistently higher load factor, superior revenue generation. We're focused on continuing to compete, whether it is $39 fares or other levels of fares going forward and we think we're well-positioned to succeed for the various reasons we've noted over time.
Chris Stathoulopoulos: Okay. Thank you.
Peter Ingram: Thanks Chris.
Operator: There are no further questions at this time. I would like turn the floor back over to Peter Ingram, President and CEO for closing comments.
Peter Ingram: Hello, again to everyone for joining us today. Amidst the challenges facing our business, our team continues to deliver meaningful accomplishments, which positions us for a bright future. We appreciate your interest and look forward to updating you on our progress in the months ahead. Aloha.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.